Operator: Good day, everyone and welcome to today's Bank of America Fourth Quarter Earnings Announcement's Conference Call. At this time, all participants are in a listen-only mode. Later you will have the opportunity to ask questions during the question-and-answer session.  Please note, today's call is being recorded. And it's now my pleasure to turn the conference over to Lee McEntire. Please go ahead.
Lee McEntire: Good morning. Welcome and thank you for joining the call to review our fourth quarter results. I hope by now you've all had a chance to review the earnings release documents. As usual they're available including the earnings presentation that we'll be referring to during the call on the Investor Relations section of bankofamerica.com’s website.
Brian Moynihan: Thank you, Lee and good morning to all of you and thank you for joining us today. Before I pass the call to Paul to review the fourth quarter, I want to hit a few points. First I want to provide some brief commentary on 2020 for the full year then talk about what we see in the economy as we enter 2021, and then highlight some areas where I believe we made strong strategic progress that will drive momentum into 2021 and beyond. So starting on slide two. 2020 was a tough operating environment as you all know. In that period, we generated net income of nearly $18 billion or $1.87 in EPS and earned a return above our cost of capital. Our EPS was down 32% compared to 2019 driven by the impacts of coronavirus pandemic on the company and the economy. As you know, the Fed dropped rates to nearly zero. Longer rates also fell to historic lows. Loan demand surged and then waned as the panic subsided. That reduced net interest income. But as we told you last quarter that we believed that NII had likely bottomed in the third quarter of 2019. In fact, we saw a modest improvement this quarter which Paul will cover later despite the challenges from lower loans. Non-interest revenue declined slightly, but included some interesting dynamics highlighting diversity of Bank of America's model. Consumer fees declined driven by the activity levels of clients, but also by higher account balances and customer accounts. That's a good thing for the economy going forward. Our business mix allowed us to benefit from more market-related activities in sales and trading, investment banking and investment brokerage in the wealth management businesses. Our full year revenue of $15 billion from sales and trading rose 17% and we generated more than $7 billion of Investment Banking revenues this year an increase of 27% over last year.
Paul Donofrio: Thanks, Brian. Hello everyone. I'm starting on slide 6 and 7 together. As I did last quarter, I will mostly compare our results relative to Q3, as most investors we speak with are more interested in our progress as we transverse the pandemic rather than in comparison to pre-pandemic periods. In Q4, we earned $5.5 billion or $0.59 per share, which compares to $4.9 billion or $0.51 a share in Q3. Compared to Q3, the earnings improvement was driven by lower provision expense, as we released $828 million in reserves, nearly offsetting net charge-offs, which also declined. Also benefiting earnings, expenses declined $474 million from Q3 on lower litigation costs, and NII moved from the Q3 trough. Non-interest income declined from Q3, but results across individual line items were mixed. First, the decline in other income was driven by seasonal client activity with respect to ESG investments, which created higher partnership losses, but benefited our annual tax rate, as I have described in previous discussions. Our tax rate for the year was 6%. If we adjust for the tax benefit of our portfolio of ESG investments, our tax rate would have been roughly 21%. I point this out to emphasize that the full year tax benefits of the socially responsible investments more than offset the portion of losses recorded in other income throughout the year. Relative to Q3, non-interest income was also impacted by lower sales and trading, which typically slows from Q3 to Q4. But, while sales and trading revenue was down linked-quarter, year-over-year it was up 7%. On the positive side, non-interest income benefited from higher asset management fees as the market improved. And we grew net new households again this year. And finally, we had another good quarter of Investment Banking revenue, which increased from both the strong Q3 levels and year-over-year. Also when comparing net income to Q3, remember, the Q3 tax expense benefited by $700 million from the revaluation of our UK deferred tax asset. Finally with respect to returns, note that our ROTCE was 11.7% and our ROA approached 80 basis points. Moving to slide 8, the balance sheet expanded $81 billion versus Q3 to $2.8 trillion in assets, total assets. The main point is that deposits are driving and funding substantially all of this growth. Deposits grew $93 billion in the quarter and are up $361 billion from Q4 2019. On the other hand, loans declined from Q3. With deposits up, loans down, excess liquidity is piling up in our cash and securities portfolios. Global Liquidity sources are up $367 billion year-over-year and $84 billion just from Q3. In fact, Global Liquidity is up so much that it now exceeds total loans. With respect to regulatory ratios, the standardized approach remains binding at 11.9% consistent with Q3. Shareholders' equity increased $4 billion, as earnings were more than three times the amount of common dividends paid plus we issued preferred stock totaling $1.1 billion. But, this was offset by higher RWA, as we invested more cash in securities. At 11.9%, our CET1 ratio is 240 basis points above our minimum requirement, which equates to a $36 billion capital cushion. Our TLAC ratio also increased and remains comfortably above our requirements. Before leaving the balance sheet, as usual, we provide the charts on slide 9 and 10 to show the historical trends with respect to average loans and deposits. For reference, we included these same charts on an end-of-period basis in the appendix. Overall, year-over-year, total loans are down 4%. And in the lines of business, they are down 2%. The decline year-over-year was driven by lower revolver utilization and other paydowns in commercial and by pullback in credit card activity. On slide 10 we provide the same trends by line of business for deposits. Brian already made a number of points on deposits and you can see the tremendous year-over-year growth in every line of business that led to 23% growth in deposits for the company. At $1.7 trillion in deposits far surpasses any previous record for deposits. We believe our strong deposit growth reflects our customers' overall experience with us, as we continue to innovate around digital capabilities, as well as enhance our nationwide physical footprint of financial centers and ATMs, which have continued to prove important to customers and clients. I will just add that, given historically low interest rates, our rate paid on deposits declined modestly linked-quarter and we are now lower than the rate paid to customers in 2015 before the Fed began raising rates. And I will point out that our interest cost on $1.7 trillion of deposits this quarter was only $159 million. Turning to slide 11 and net interest income. On a GAAP non-FTE basis NII in Q4 was $10.25 billion, $10.37 billion on an FTE basis, while net interest income declined  million from Q3. The improvement from Q3 was driven by the increased deployment of excess deposits into securities. Lower loan balances, lower reinvestment rates and modestly higher mortgage-backed securities premium write-offs mitigated the improvement in NII. The net interest yield was relatively stable, declining only one basis point from the Q3 level. Note that given all the deposit growth, plus the low starting point with respect to interest rates, our asset sensitivity to rising rates remains quite large and is a good reminder of the value of these deposit relationships. Now with respect to NII. As we move into 2021, we offer the following perspectives. Our perspective on NIIs assume that net interest rates follow the forward curve and do not move lower than current levels and that the economy does not take a meaningful step backwards as a result of recent negative COVID developments. With that said, first I would remind everyone that Q1 will be impacted by two less days of interest, which is a headwind of nearly $200 million. Also, seasonally, we would expect to see payments related to holiday spending result in lower card balances. We also have the continuing impact of higher-yielding assets maturing or paying off and being replaced with lower-yielding ones. Offsetting these headwinds we currently intend to again invest a portion of our excess deposits which continued to grow in Q4 into securities. Having listed those specific Q1 impacts, NII improvement, more generally, will depend on all the factors we are all focused on such as loan growth, PPP loan forgiveness and PPP new originations and mortgage refinancings, as well as mortgage-backed security payment speeds, which impact the write-off of bond premiums. Should those trends develop in a positive way, our NII and earnings will benefit. One final note on NII. We added a slide in the appendix that shows the difference between 2015 when short-term rates were last this low and today. The important difference between then and now is the growth in our balance sheet which improved NII and the decline in expenses since then. Speaking of expenses and turning to slide 12. Q4 expenses were $13.9 billion; $474 million lower than Q3. The decline was driven by a reduction in litigation expense. We also saw a reduction in COVID-related expenses, primarily those associated with processing claims for unemployment insurance. Higher planned marketing costs across the firm and revenue-related processing and incentives mitigated the reductions. As we move into 2021, remember, Q1 will include seasonally higher payroll tax expense, which we estimate at roughly $350 million. Given the resurgence of COVID cases across the U.S. and in Europe, we estimate that $300 million to $400 million of net COVID-related expense remained in our Q4 expenses. We continue to work hard to lower these types of expense, but not at the expense of the safety of our employees and customers. And outside of these COVID costs, we continue to manage expense tightly, using gains in productivity and digital activity to mitigate other increases. Turning to asset quality on slide 13. Our total net charge-offs this quarter were $881 million, or 38 basis points of average loans. Net charge-offs continued to benefit from years of responsible growth, as well as government stimulus and loan deferral programs. A $91 million decline in net charge-offs was driven by lower credit card losses. The loss rate on credit card declined to a 20-year low of 206 basis points of average loans. Provision expense was $53 million, which not only reflected an improvement in macroeconomic projections, but also incorporated uncertainties that remain in the economy due to the health crisis. These considerations resulted in an $838 million reserve release this quarter, reducing consumer loan reserves by $621 million and commercial by $207 million. Our allowance as a percentage of loans and leases ended the year at 2.04%, which is well above the 1.27% where we began the year, following our day one adoption of the CECL accounting standards. With respect to key variables used in setting our reserve. As done in previous quarters, we continued to include a number of downside scenarios. Based on our Q4 2020 weighting of those scenarios, GDP is forecasted to return to its Q4 2019 level in the early part of 2022. This improved by a couple of quarters relative to Q3. The weighting scenario also resulted in an unemployment rate at the end of 2021, consistent where it is today, just north of 6.5%. On slide 14 we break out credit quality metrics for both our consumer and commercial portfolios. On the consumer front, COVID's effects on net charge-offs continued to remain benign. Overall, consumer net charge-offs declined $82 million, driven by card losses and remained near historic lows. We experienced modest increases in delinquency and NPL levels, but they remained low and were expected, given the deferral activity of customers. While expired deferrals drove consumer 30-day delinquency modestly higher compared to Q3, importantly, they remain 22% below the year-ago level. And, consumer deferral balances continued to decline in Q4, ending the year at $8 billion. Moreover, balances are now mostly consumer real estate-related with strong underlying collateral values. We added a slide in our appendix which further highlights delinquency trends for credit card. It shows a modest bulge of the expected deferral-related delinquencies moving their way through time and into the 90-plus bucket at year-end. As the bulge of deferral-related delinquencies passed through time periods, delinquencies receded. As an example, in Q4, five-day delinquencies were down more than 30% year-over-year which shows that after deferrals passed through this time period, delinquencies fell and stayed lower. So, assuming net losses follow their historical relationship to delinquencies in the 90-plus day bucket and no other changes in card payment trends, we would expect card losses to be higher in Q1 but then decline in Q2. Moving to commercial, net charge-offs were relatively flat to Q3 even as we sold some loans in affected industries, crystallizing losses but reducing risk. Overall, given the environment, the asset quality of our commercial loan book remained solid, and 89% of exposures were either investment-grade or collateralized. Our reservable criticized exposure metric continue to be the most heavily impacted by COVID and increased this quarter by $3 billion from Q3, led by downgrades -- downgraded exposures in commercial real estate primarily hotels. Importantly, commercial NPLs while up modestly, remained low at only 45 basis points of loans. Turning to the business segments and starting with Consumer Banking on slide 15. Consumer Banking throughout 2020, has been the segment most impacted -- most heavily impacted by COVID. It bore the brunt of revenue disruption from interest rates, customer activity and fee waivers. Reserve-building impacted provision expense. And expenses increased for PPP programs and protection of associates and customers. In Q4, compared to Q3, revenue, expenses and provision all improved. We earned six -- $2.6 billion in Consumer Banking in Q4 versus $2.1 billion in Q3. But with earnings still below prior year pre-pandemic levels, we know we still have plenty of room for improvement. Client momentum in this business continued to show strength around deposits and investment flows, while near-term loan growth was -- has been impacted by the decline in mortgage balances from heightened refinance activity. Looking at the components of the P&L linked-quarter, revenue growth included both higher NII and fees. Consumer fees reflected an increased level of holiday spending as well as higher investment account activity. Even as revenue moved higher expenses moved modestly lower, as we had a reduction in pandemic costs and continued to realize the benefits of a more digitally engaged customer base. As Brian noted, and as you can see on slide 17, we saw an improvement in digital enrollment. Most importantly, customer use of our digital capabilities increased with not only more sign-ons and higher digital sales, but also more service fulfillment through digital channels as reflected by volume growth in both Erica and Zelle. Note also that, both our rate paid and cost of deposit declined. Cost of deposits is now 135 basis points. In the past year, we added over 500,000 net new checking accounts grew deposits 23% and dropped our cost of deposits 17 basis points, even with the increase in costs associated with the pandemic. Let's skip to Wealth Management on slide 18 and 19. And I will refer to both slides, as I speak. Okay. Here again the impact of lower rates on a large deposit book pressured NII, impacting an otherwise solid quarter with positive AUM flows, market appreciation and solid deposit and loan growth. Net income of $836 million improved 12% from Q3, as revenue growth and improvement in provision exceeded, a modest increase in expense. With respect to revenue, NII grew driven by solid growth of both loans and deposits. And asset management fees grew to a new record on higher market valuations and solid flows. Expenses increased driven by revenue-related expense and investments in our sales force. Merrill Lynch and the Private Bank both continue to grow households, as we remain a provider of choice for affluent clients. Client balances rose to a record of more than $3.3 trillion up $302 billion year-over-year driven by higher market levels as well as positive client flows. Let's move to our Global Banking results on slide 20. COVID has also heavily impacted Global Banking due to lower interest rates, softer loan demand and higher credit costs. But here, again we saw improvement. The business earned nearly $1.7 billion in Q4 improving $751 million from Q3 driven by lower provision expense and improved revenue. On a year-over-year basis, earnings were $341 million lower, driven by NII. Looking at revenue and comparing to Q3, revenue improvement was driven by higher Investment Banking fees as well as more leasing activity associated with our clients' ESG investments. Investments Banking fees for the company of nearly $1.9 billion grew 5% from Q3 and were up 26% year-over-year. As Brian noted, this performance led to improved market share overall and in a number of key products. Provision expense reflected a reserve release of $266 million in Q4, compared to a build in reserves of $555 million in Q3. Non-interest expense was higher compared to the linked quarter and year-over-year, primarily reflecting investments in the platform as well as support for the PPP program and also reflecting the recording of merchant services expense, given the change in accounting versus the year-ago quarter. As Brian noted earlier, customers continued to appreciate the ease, safety and convenience of our digital banking capabilities. And usage continued to grow, helping defray other costs. We present some digital highlights on slide 22. As noted earlier, loans declined but saw stabilization late in the quarter. And continuing to trend since Q2, the spread of the loan portfolio continued to tick higher as spreads on new originations on average exceeded the average spread of the portfolio. Average deposits increased 26% relative to Q3 as businesses remained highly liquid. Okay. Switching to Global Markets on slide 23. Results reflect solid year-over-year improvement in revenue from sales and trading, but declined from the robust levels of Q3. As I usually do, I will talk about segment results, excluding DVA. This quarter net DVA was a small loss of $56 million. On that basis, Global Markets produced $834 million of earnings in Q4, a decline from the more robust trading in Q3, but up markedly from Q4 2019. Focusing on year-over-year revenue was up 13% on higher sales and trading. The year-over-year expense increase was driven by higher activity-based costs for both trading and unemployment claims processing. Sales and trading contributed $3.1 billion to revenue increasing 7% year-over-year, driven by a 30% improvement in equities and a 5% decline in FICC. The strength in equities was driven by market volatility and investment repositioning, which drove client activity higher. The decline in FICC reflected strong credit trading performance, which was more than offset by declines across most macro products and mortgage trading. As Brian noted, the year-over-year performance of this business has been strong in every quarter of 2020. You can see that on slide 24 and that produced strong segment returns of 15% on allocated capital for the year. Okay. Finally on slide 25, we show All Other which reported a loss of $425 million. Compared to Q3 the decline in net income, was driven primarily by the prior quarter's tax benefit of $700 million associated with our U.K. deferred tax asset. Revenue declined from Q3 driven by the accounting for wind and solar and other ESG investments. We also experienced some modest equity investment losses. Expenses declined from Q3 on lower litigation expense, but were partially offset by higher marketing costs. For 2021, absent any changes in the current tax laws or unusual items, we would expect the effective tax rate to be in the low double digits driven by the level of ESG client activity relative to pre-tax earnings. And with that, I'll turn it back to Lee and Brian for Q&A.
Operator:  We'll take our first question today from John McDonald with Autonomous Research. Please go ahead.
John McDonald: Hi. Good morning. I wanted to ask a question on expenses. Brian mentioned expecting the cost number to be flattish in 2021 versus 2020. Just kind of wondering, is that all-in expenses Paul or some kind of core metric? If you could give an outlook for the expenses that you expect and the COVID -- trend for COVID expenses this year? Thanks.
Brian Moynihan: Yes, John that's all in given the -- so around $55 billion both years since we feel good about the ability to keep bringing down COVID. It came out a little slower this quarter largely, due to the fact that, if you go back and think where we were in October on case counts the need to continue to provide strong benefits to our teammates, including the child care in their homes so they could be effective that's why we get those customer scores, and why the growth in checking sales was 70%, 80% of a normal year even with half to 40% of the branches closed. So, yes, flat year-over-year all-in number. And then we're working the dynamics underneath it. But importantly remember, we are investing $3.5 billion in technology next year, new financial centers expansion employees to help sell more, and we'll continue to drive it through. So you'll see sort of a change in the COVID cost coming down hopefully as we move through the year, but we've got some work to do, but flat over year-over-year overall.
John McDonald: Okay. And then longer term Brian, you've talked about getting back to a low $54 billion as kind of a run rate ex-COVID. Is that still how you're thinking about things?
Brian Moynihan: Yes. We should start to work down. Again either, as we said many years ago, as we get in the out years and get more and more efficient the day-to-day the quotidian costs of rent increases and payroll pay increases work at you. But the idea is to have the net expense grow sort of at 1% a year. So, 3% up from just day-to-day cost to manage a couple of percents out and so we'll continue to work that down in the future. We've got work to do on getting these COVID expenses out of here.
John McDonald: Okay. Thanks.
Operator: Our next question comes from Mike Mayo with Wells Fargo. Please go ahead.
Mike Mayo: Hi. I also wanted to follow-up on the efficiency. I mean, you're making big strides with digital banking in so many ways with 39 million digital households are engaged. And you go through all those metrics and you see efficiency ratio for the quarter of 69%. And if you take out your $400 million of COVID cost, maybe it would be 67%, but that's still a far cry from the 57% to 59% where you had been. I know low rates hurt a little bit, but either you're investing more than your -- you've disclosed. Or are there some other COVID costs in there? Or you're not getting -- becoming more efficient as you said in your opening comments Brian. So help me kind of reconcile your current efficiency or my adjusted efficiency ratio with a more normal level.
Brian Moynihan: So Mike, I take you back to page 11 on the net interest yield, and net interest income, and realize that basically in the four quarters of last year we lost $2 billion of revenue per quarter, which is the bridge from -- a lot of that bridge. And so as we work that back up and ultimately as rates rise that $2 billion that's per quarter so $8 billion in revenue, with really no cost. That will go up. So we continue to get more efficient in the branch as the cost of operating over the deposit base is now at 1.35%, and we added 700,000 of checking accounts. So you're right it's -- but it's more affected by the revenue impact to NII than it is by anything else in terms of expenses. Remember, we're saying net COVID cost of $300 million or $400 million. That includes offsetting against that whole savings on travel and stuff. The gross costs are obviously much higher than that. We've got about -- just we opened up PPP today. We've got 5,000 employees ready to go to complete the next round of PPP and the forgiveness process. And as that finishes off that stuff will come out of the system. So we got you.
Mike Mayo: And then the follow-up to that is going to NII. I'm not sure, if you gave a specific outlook or not Paul, when you went through that. I mean, as you said liquidity is now greater than loans. Your loan-to-deposit ratio at close to 50%, I think it's the lowest in history like ever right now. So there's a lot of dry powder there. But did you give guidance for NII for this year assuming the forward yield curve stays where it is? And, do you think you can somehow pull out positive operating leverage this year? Or is that too tough given the rate environment?
Paul Donofrio: We didn't give specific guidance. I can give you a little more color on our perspectives on 2021. But I do think as you think about how you want to estimate and model NII and how it may unfold in 2021, I think it's really sort of helpful to kind of review the progress we made in 2020. There's a lot of clues there. Remember in Q1 of '20, interest rates fell to historically low levels. Short rates were down 150 and long rates were down 100 basis points plus loans declined significantly beginning in Q2 as demand weakened and larger companies accessed the capital markets to pay down debt and build liquidity.  In the past, when we've had situations like this where interest rates and/or loans have declined, it's always taken sort of several quarters to reach a point where renewed balance sheet growth was significant enough to compensate. We believe we found that NII bottom in Q3 and NII indeed moved higher in Q4. All else equal day count et cetera, it should become easier from here to grow NII. I think what helped us to start to grow again quickly in this crisis was the tremendous influx of deposits and our relatively recent confidence to invest the excess in securities instead of holding that excess in cash.  So our continued investment of that cash in Q4 leads us to believe that we can offset the headwinds of low loan demand in the near-term recent -- reinvestment yields and two less days of NII in Q1, leaving NII relatively flat in Q1 versus Q4 before moving up through the balance of the year. Remember in Q2 and Q3, we picked back up those days of interest we lost in Q1. As Brian reviewed, we also saw commercial loans stabilize at the end of Q4 providing hope that increased loan demand will soon follow. Given that we expect some loan demand through the year and using the existing rate curve, which has steepened over the past 90 days, we would expect NII in Q4 2021 for example to be much higher than Q1 2021. And when we get to the second half of 2021, year-over-year quarterly comparisons to 2020 as well as the second half of 2021 compared to the first half of '20 should be quite favorable.
Mike Mayo: Okay. That's helpful. And then when you say a lot higher in Q4 than Q1, bigger than a bread box? Or I mean any sizing to that?
Paul Donofrio: I would -- 
Brian Moynihan: Once we get the -- the simple way to think about it, Mike, is once you sort of get underneath the levels, you start growing the loan growth. And we said, we'll outgrow the economy in loan growth in normalized times and in FD, NII. So – yeah, but we've got to work it back up from here. It's a four or five quarter fight to kind of get this huge balance sheet turn and repositioned and just fight it down and then to have it grow back out. So we'll see.
Mike Mayo: Okay. Thank you.
Operator: And our next question is from Glenn Schorr with Evercore. Please go ahead.
Glenn Schorr: Hi. Thanks very much. You guys are pretty predictable and steady on this front. But I'm curious on your thoughts on capital. I don't -- I'm not sure your CET1 has ever been higher and your requirements are not going up. So as capital continues to build and your G-SIB target is reasonably low relative to your big peers. Just what are you thinking in terms of how aggressive do you get on the capital return versus we don't talk much about bolt-on acquisitions with you, but curious how you think about that? And if you might address asset management in particular given your great distribution franchise. Thanks.
Brian Moynihan: Glenn, let's go backwards to that one. The big leverage point would be more deposit acquisitions in markets we're not and stuff like that, but we can't do it. It's illegal and has been for all the way back since GLBA or whatever it was 20, 30 years ago so or even before–. And then asset management, remember, we sold asset management because we believed that being the large distributor is the priority. So don't expect us -- we look at stuff from time-to-time like everybody does. But the way we're going to -- we built this company was organic growth and then delivering the capital back to the shareholders. And what's interesting, we'll see what the rules change. But remember that things like the SLR and the accommodations that were given, we didn't need and we have plenty of SLR. It doesn't have any constraint. It doesn't become an issue. Like you said even if you look at the SCB recalcs and stuff we've got plenty over that. So we will be aggressive on returning capital. We got basically two months to return those $3 billion and change we've got to return now. And then we'll see what the Fed instructions are and then we'll get after it as we move forward. And we look at things from time-to-time, but they -- there just isn't much to consider in the United States right now and the best answer is to continue development of this franchise on an organic basis and it works. If you look in the markets, we've expanded our brand system too. We're averaging $100 million or more in deposits per branch in the ones that have been open a couple of years and moving share up literally year-by-year-by-year. And so we think that that's where we got to keep driving.
Glenn Schorr: I appreciate all that. Is there a specific either buffer above the CET1 and/or you want to put it in the $36 billion excess? Where is a natural resting ground? Not tomorrow, but just whenever you get there.
Brian Moynihan: Yes. We always said sort of 50 basis points above the relevant binding criterias where you'd start to slow down. But remember, we're basically only getting back to earnings. And so we got a lot of room between us and whatever the requirement is plus 50 basis points. And from time-to-time those move around advance to standardize SLR whatever is binding. But think about that's where the Board targets are.
Glenn Schorr: Excellent. Thanks for your reference.
Operator: Our next question is from Matt O'Connor with Deutsche Bank. Please go ahead.
Matt O'Connor: Good morning.
Brian Moynihan: Good morning.
Matt O'Connor: Can you talk a bit about the timing of the liquidity deployment in the fourth quarter? I think mortgage rates actually came down. And one can argue if you look out six to 12 months longer-term rates will be higher as kind of vaccines get rolled out and the economy picks up. So obviously, you have tons of deposits, but it's also pretty long-duration assets I would think that you're buying. So if you could talk about that?
Paul Donofrio: Yes. You're absolutely right. The 10-year was up in the quarter, but rates of mortgage-backed securities -- well certainly, mortgage rates to customers declined; and rates on mortgage-backed securities I think declined slightly. Having said that, we're always going to balance liquidity capital and returns and profits and we did deploy and as we said on our third quarter call approximately $100 million of our cash into securities. It went into both mortgage-backed securities and some treasuries in the quarter. And we think, that was the right thing to do. We understand the rate structure. We did get probably an improvement on our yield on that $100 billion of approximately 125 basis points. So -- and I would say, we've still got a lot of excess cash, Matt. If you look at our balance sheet, cash grew by $70 billion, $80 billion this quarter. So, I mean that was the growth on top of what we already had net of deployment. So, we still have a lot of room to invest in the future. And we plan to do some more investments in Q2, but we're obviously always looking at the rate environment.
Matt O'Connor: And then I guess somewhat related, is there a point where you just say, we don't want some of these deposits? It's better to kind of free up even more capital. Or just have a little bit more of an efficient balance sheet and not have to kind of make some of these tough decisions? Or charge for the deposits?
Brian Moynihan: Well, so why -- if a customer comes to you to open a checking account and start a lifetime relationship, you'd never turn that down whether it's a commercial customer or a consumer customer for core deposits. And so, if you look at the growth, we're not bidding for CDs or -- and money markets on the consumer side. You can see that $108 billion of the $160 billion was checking account balance growth. And by the way when rates rose before, we continued our checking account growth and we would expect that to continue because these are core customer relationships. So, if you go back and look as rates rose 2016, 2017, 2018, we continued to grow checking in double-digit type of numbers quarter after quarter after quarter, which means, you're just taking market share. And so on the commercial side the same thing in the GTS business. We are not out in the market taking short-term deposits from people. Haven't been. And that's -- and so this is all real core stuff that we're getting paid to take. And albeit, it gets sandwiched a little bit as the zero floors are hit in the commercial side frankly that services overcome the zero floor, but you'd be hard pressed to turn it down. So, it's not like we have a lot of here's a few billion dollars, can you put it on your balance sheet and give us yield? That just doesn't happen. We don't do that. We turned that down already.
Matt O'Connor: Okay. Thank you.
Operator: Our next question is from Betsy Graseck with Morgan Stanley. Please go ahead.
Betsy Graseck: Hey thanks. Paul, just first off a follow-on question to the last one around the reinvestment into securities. Like you mentioned, you did $92 billion or so this past quarter. So, as we're thinking about the NII guidance you just gave, should we be anticipating an increase into the securities book that's above and beyond that roughly $100 million run rate that you did in 4Q?
Paul Donofrio: Look, we continue to access -- assess the excess deposits and we do expect to continue to deploy more cash into securities. We're not really planning on disclosing how much more, but there is a meaningful amount in that guidance that we gave you. The size and pace of the purchases are obviously going to be influenced by a number of judgments including things like the -- like expected loan demand and customer deposit behavior. So yes, I mean I'm not going to give you a number, but it's a meaningful increase that we're expecting to do in Q2 -- excuse me in this quarter. 
Betsy Graseck: Yes. Okay. Got it. And then just separately, in talking about credit, you indicated that the delinquencies are suggesting that your NCOs are going to be coming down Q-on-Q in 2Q. And that's a pretty stunning statement, given that we still have this unemployment rate where it is. Can you just talk a little bit about, what -- why you expect that's happening in your book of business? Do you just have a population that's really not being impacted by the unemployment rate? Maybe you could give us some color there.
Paul Donofrio: Sure. Now, I want to correct -- I think I heard you say something -- you may not have said it, but I want to make sure everybody heard it. We expect NCOs for card to be up in  it's not going to be down in Q1. And the reason for that -- yes?
Brian Moynihan: Hey Paul. We lost you there for a second just, if you could say what you were saying.
Paul Donofrio: Okay. Sorry. What I wanted to make sure everybody heard because, I thought I heard you say something different. We expect net charge-offs for card, which obviously the primary driver of consumer loans, we expect those to be up in Q1 and then decline in Q2. And the uptick -- 
Betsy Graseck: Yes. That's what I thought I said so sorry about that.
Paul Donofrio: Okay. And that expectation is being driven by what we see in the 90-plus bucket in terms of delinquencies. And those delinquencies are -- that have sort of -- if you look at the other buckets, you'll see in the 90-plus bucket, they're higher than the other bucket. And that's the deferrals have worked their way from the five-day to 30-day, the 30 to the 60-day, they're now in the 90 bucket. And we can look back historically and say x percent of our delinquencies in the 90 bucket show up as losses in the next quarter because you get to 180 days. And so, that's all we're seeing. But importantly, when you look behind the 90-day bucket, you don't see the same elevated levels. In fact, if you look at the 30-day bucket, you're down meaningfully year-over-year in terms of levels. So that's why we think, Q2 will have to come down. Probably maybe have to is too strong a word, all else equal, what you think would come down. And the question is really, if you think about it, the people who have been affected by this health crisis, who are unemployed, who have been helped by stimulus, will this new stimulus carry them to the point where they get vaccinated and they get jobs back? And will we ever see those losses? Or will they just be pushed out into future periods?
Brian Moynihan: So Betsy, just to give you some extra information, we included. If you look at page 27 of the deck in the appendix and the four charts at the bottom were put in specifically because this question we knew would arise. So, if you look across the buckets and you look from the mid 2019 to the end of '20, you can see the different delinquency buckets are all down, even the 90-plus days down in gross dollar amount year-over-year. But you can see that the -- what people thought was sort of the analogy of a pig through a snake is probably more of a mouse through the snake in that it went up it's still a lower dollar amount. And then it would come back down because, you move from the left to the right side of the page. And if you go back to page 14, you can actually see in the top chart that the total charge-offs in consumer this quarter were $482 million. If you look in the red bars which is the credit card, you can see that they're down dramatically year-over-year in terms of gross dollar amounts and then this will bode well in the future. So when we talk about going back up, they're going up from a level that was much below where they have ever been historically in terms of dollar amounts. And so the last point you made just so you have it is that the unemployment rate in our customer base is below the unemployment rate in American society. And that's just due to the -- especially on the borrowing customer base due to the client selection and being in the prime business.
Paul Donofrio: Hey, Betsy, maybe just to complete the conversation with respect to commercial, we have seen increases in reservable criticized, but they haven't -- we haven't seen NPLs increase significantly. They're at 45 basis points of loans right now. So we think commercial losses in future quarters are going to be driven by really company specific events that play out over the coming quarters, and will obviously likely be concentrated in industries more heavily impacted by COVID. I would point out that in this quarter we took some losses as we chose to reduce exposures in industries that were affected by COVID. And that crystallized some losses and showed up in our NCOs this quarter. If we hadn't take those losses, we would have hadn't sold those credits we would have had even lower NCOs in commercial.
Betsy Graseck: Yes. Yes. No, I got it. I mean, we're forecasting NCOs peaking some time in the end of 2021. But given your comments maybe the question is have they already peaked, or will they have peaked for you in like 1Q?
Brian Moynihan: The care there is to think the consumer is really at this point, sort of, run the course. And the commercial, the reserves have built and the activity may occur in the out quarters. But the consumer runs the course by just straight throughput five to 30, 30 to 60, 60 to 90. So we're showing you the charts that really tell you what's going to happen in the first half and because it's a pretty mathematical calculation.
Betsy Graseck: Yes. No, I got it. Impressive. Thank you.
Operator: Next question from Vivek Juneja with JPMorgan. Please go ahead.
Vivek Juneja: Hi, Brian. Hi, Paul. Brian, a question for you. Can you talk a little bit about your FICC trading? You've lost share in 2020 including in 4Q. What are you thinking about this business? What are your plans for it?
Brian Moynihan: Well, our plans are to keep running it the way we do. And if you look at it year-over-year, it's an integrated business markets. Jimmy does a good job. It's up -- we showed you on that chart. It's up -- it's one of the highest years it's ever had 15% or whatever it is up year-over-year. So they do a great job. We don't play in certain areas, which run on a given quarter. Interesting enough when they don't run people forget about that. And so we have a more of a stable level of revenue. So if you look on page 24, you'll see that $13.2 billion, $13.3 billion, $12.9 billion, $15.2 billion, so we had a good year. And the FICC was up from $8.4 billion to $9.7 billion in revenue, which is substantial and some of the areas we don't trade in. So we're more credit driven and that's what that drives us versus some of the competitors. We're happy with the business. They do a great job. And it's really there to help drive the connectivity between our issuing clients and our investing clients. And we'll continue to do -- drive it.
Paul Donofrio: Can I just add one, happy to see what data you're looking at but I don't think we're losing market share in FICC. I think we're actually gaining market share. And perhaps not as much as we're gaining in equities, but we're gaining market share certainly in the segments where we're investing within FICC.
Vivek Juneja: Paul, your growth rates have been below peers. So are you doing that by segment of business like Brian was talking about and passing that out between commodities and macro and credit products, or is it something else? Because certainly if we look at year-on-year growth rates, you've been below your peers through several quarters in 2020.
Paul Donofrio: Some of the peers, but not all of the peers. There's lots of peers in Europe…
Vivek Juneja: Right. But the bigger ones -- yes, but -- yes I guess…
Paul Donofrio: I think if you look at global fee pools, you'll see that we are gaining market share in FICC.
Vivek Juneja: Okay. Okay. We'll go back and compare with the Europeans. Different question Paul for you. MBS premium amortization expense how much -- what was that this quarter?
Paul Donofrio: I don't think we're giving the exact number but it was up. And it did impact, I would say meaningfully NII. From here, we're going to need to see mortgage -- customer mortgage rates stabilize and go higher for that number to stabilize and go higher -- excuse me, for that number to stabilize and go lower.
Vivek Juneja: I understood what you meant. Yes.
Paul Donofrio: Yes. But if you -- I'll give you this sense of its impact though. If you look at the decline in net interest yield for the company, one-third of it was due to premium amortization in the quarter.
Vivek Juneja: And so by a time -- the fourth quarter guide that you were giving us for NII to be much better, how much of a reversal are you forecasting in that MBS premium amortization in that guide?
Paul Donofrio: Well, I would look at the forward rates to get it -- for you to estimate that. We're not assuming that it goes up in that guidance. Because if you look at the forward curve, rates by the end of the year are up from where they are today…
Vivek Juneja: Yes, yes. No I was -- yes, my question was how much are you expecting it to decline Paul? I know you do not expect them to grow.
Paul Donofrio: I understand you were asking for the dollar amount and I'm not going to give you the dollar amount.
Vivek Juneja: Not the dollar amount but any sense of percentage, since you said one-third of the decline came from that. Any sense of -- I'm not asking for a precise element, I'm not expecting that. But any sense.
Paul Donofrio: Maybe we can follow-up. I mean, I don't have it off the top of my head. I'll probably give you some sense of how much, what percent of the improvement is from that. But I don't -- I just don't have it off the top of my head. The other thing that I would point out just to keep in mind as you're thinking about the write-off of premium is that it's not just at this point due to the decline in rates. You have to remember that the portfolio has gotten bigger too.
Vivek Juneja: Right. But you've been hurt more than others by it. So, obviously, that should turn around for you later in the year if refinance…
Paul Donofrio: Yes. That's a meaningful tailwind if mortgage-backed -- if mortgage rates increase.
Vivek Juneja: All right. Thanks.
Operator: Next question is from Ken Usdin with Jefferies. Please go ahead.
Ken Usdin: Thanks. Good morning. Just one accounting follow-up for you Paul. Just you mentioned the low double-digit tax rate. And that other fee line for where the ESG investments go through has been pretty volatile, but a pretty big negative number. And I just wanted to see if there's any way you can help us understand just what that looks like when you're helping us understand the tax rate as the other side of it.
Paul Donofrio: Yes, sure. I can try to help you with that. I guess, there's two ways to triangulate on it. The -- look at the other income line for the company, okay? And with respect to modeling that line, it's going to bounce around a lot quarter-to-quarter. But for modeling purposes a good assumption going forward absent unusual items would be about a loss of $200 million in that line except the fourth quarter will normally be higher as it was this year given the seasonal increase in partnership investments that we saw this quarter. I can give you a lot more -- there's lots of things in that line item, but the volatility is often driven certainly in the fourth quarter by those partnership losses. Other things in that line are equity investment gains, gains and losses on the sale of debt securities. And there's some mark-to-market income in there on our FVL loans -- our fair value loans and related hedges. So there's going to be volatility in there. I would use a loss of around $200 million per quarter with a larger loss in the fourth quarter.
Ken Usdin: Yes. Understood. Okay. Great. And then just a follow-up just on -- you mentioned the progress that has been happening in the franchise as we kind of get a little bit closer to reopening. A lot of those card- and consumer-related fee items are still kind of hanging in there plus or minus. What do we think needs to happen for those to start moving the right way? Obviously, you've got all this excess liquidity still weighing on fees and overdrafts, et cetera. So is this a new normal? Or with the economic improvement do you expect to see also that stuff start -- mass of fees start to improve as well? 
Brian Moynihan: I think the biggest line item is the interchange-type dynamics in both debit and credit. And they're growing, but they are recovering from a deficit as I spoke about earlier. So that -- yes, that should help. And then the numbers of transaction accounts go up. But remember, we've had a strategy that is to lower clients' overcharges -- overdraft charges by our safe balance account, which were three million accounts round numbers. And we're trying to get customers to really use our services in a way that benefits them the most. And so that works against the overdraft line as the sheer dollar volume goes up. So we'll see. But what's really also driving us is just sheer numbers of growth in accounts will be the driver. It will grow slowly though because we have been constantly taking down. We have the lowest percentage of overdrafts as total fees in consumer of any of the large peers and we'll continue to drive that down, because that means the customer's in good shape.
Ken Usdin: Got it. Okay. Last thing any quick update on the merchant and how that's progressing along as well? And now that that we've seen another kind of full quarter of that broken out?
Brian Moynihan: Yes. I think it's still getting -- we put the new system and we're starting to sell it that we feel, okay. We feel it's a core part of our business. But one of the things that's held it back is that's a sales process, which is more integral to the types of people who use merchant services to be open more and that's obviously affected by COVID. So, its okay, but we need to improve it.
Ken Usdin: All right. Got it. Thank you, Brian.
Operator: Next question is from Jim Mitchell with Seaport Global. Please go ahead.
Jim Mitchell: Hey, good morning. Maybe just a little bit on consumer loan growth. It seems like you deliberately shrunk residential mortgage. Auto looked pretty good. But credit card was a little sluggish, I think, given typical seasonality. So, customers are flush with cash. How do we think about the demand for lending going forward? You gave some nice color on the commercial side on a monthly basis. How do we think about the consumer side?
Brian Moynihan: Well, let me just -- the issue was if you think about being a large consumer lender and especially you watch the unsecured space when March, April, May hit you pulled in and even in the small business space. So, the good news is, is that we're reverting to norm. And so in December, for example, we had 198,000 booked accounts in credit card. That -- 191,000, that's the highest really going back to pre-COVID days, but we were running 300,000 back then. So we got some work to do to get it back to the full amount on the card side, for example. In terms of mortgage. Again, we are careful there, but also we're conservative on rates and we gone to look at that. So, we booked about $7 billion in the secured lending side including mortgage in the core consumer business. And so we feel better about that. Auto picked back up, but home equity is down to $0.5 billion a quarter or something like that when it was running $3 billion or something. So we've got some room to go. But the good news is the card is stable the balances are sort of stabilized. And at the 85 million you have some seasonality, but at least they stabilize there. And then the mortgage looks like we're picking back up a bit as we've made some adjustments and gone back to the more normalized underwriting, and auto has been strong. So we'll see it play out. But you're right, we had to pull back and have lost about half the credit card volume on a given month. And we're picked back up to -- from 150 million at the low point to 200 million, but we've got some work to do.
Jim Mitchell: So, is the uptick in marketing spend sort of reflective of that push to reengage with consumer and we should expect some nice sort of improvement going forward?
Brian Moynihan: All our marketing really is around consumer product capabilities. So, yes.
Jim Mitchell: Okay. Great. Thank you.
Operator: Our next question is from Gerard Cassidy with RBC Capital Markets. Please go ahead.
Gerard Cassidy: Good morning Brian, good morning Paul. Brian just a follow-up on that consumer commentary you gave. And in your prepared remarks I think you said that you brought your underwriting -- you're bringing your underwriting standards back to the pre-COVID levels. Two questions I guess or two parts to it. Can you give us some color of how they changed? When you tightened them up now they're back to normal? Was it FICO scores on the consumer side? And was it also on the commercial side did you do the same thing? And some color on what's changed today there.
Brian Moynihan:   Yes. So let me start with the commercial side. And this is about sort of the relationship side of commercial business, Business Banking, Global Commercial Banking, Global Corporate Investment Banking. Basically in March, April, we stopped prospecting frankly because it was sort of impossible to do plus you want to make sure you understood the portfolios. We've done quarterly portfolio reviews, every single loan going through to make sure the ratings are right make sure we understood with the customer to make sure we understood whether they're going to need covenant waivers. That over the course of the time here has sorted the group of customers which are in the industries that Paul talked about that are difficult. And the rest of the customers are solid in good shape. And frankly, their credit has been improving as we looked at it by quarter. And so about four months ago, we moved into prospecting with very narrow list of prospects for Business Bank and Global Commercial Banking think for middle market and upper end of small business across all our markets. But then recently we flipped and they can go back to full prospecting except for limited industries that you'd expect. On the small business side because of the nature of the business, it was a little more dramatic and we've opened back up. And we're getting -- we're up I think in the fourth quarter to give you a sense we were up 50% in terms of the originations quarter-over-quarter, but we're still -- we were up a lot more than that more than 50%. We're still down 50% year-over-year up 100-plus percent in quarter -- linked-quarter I think. And so new commitments up 135%; but year-over-year still down 47%. So that shows you that's coming through and we will see that happen in the small business side. So, that was probably the slowest because it's -- they are the most risk. And so that's the commercial side. When you go to the consumer side, the reality was we basically -- we stayed on LTVs on the commercial -- on the consumer mortgage side. We basically stopped with the FICO requirements we slowed down and do the market dynamics home equity slowed down. Auto, we went back out more quickly just because of the secured nature of and short-term nature of it. So, we felt good about that and probably we're always super prime and stayed there. But it's really what's changed in consumer in the last several -- last few months has been the move. And we're back to probably 80%, 90% of the ability to generate that we had. We were down probably 20% and we moved back up and so we'll see that flow through. But it was really just until you had some clarity where this thing was going you had to be careful for a while. So, that bodes well to economic activity and loan growth in the future.
Gerard Cassidy: Very good. Thank you. And then Paul in your comments you were talking about having greater confidence with the deposits to go further out on the yield curve. You talked a little bit about that already. I guess the question is what changed on the confidence side that now you're comfortable to take those deposits and move them further out versus maybe six months ago?
Paul Donofrio: Sure. So, what's changed is A, the level of deposits, right? We continue to get more and more deposits in. B, reviewing as Brian noted earlier where the deposits are coming from predominantly high-quality deposits checking, et cetera new accounts. Three, when you look at just the sheer growth of the money supply coupled with the expectation as we come out of this recession that the velocity of money will likely increase, it's hard to build a case that we're going to see a significant decline in deposits in the U.S. And we're going to get our fair share if not more of those deposits. So, because of how we run our business on both commercial and the retail side in terms of focusing on high-quality deposits, we just feel good about the deposits we have.
Brian Moynihan: Yes and Gerard just to make it sort of straightforward. Once you got by the feeling this was an ephemeral move; and especially, on the corporate side that this was going to be what a state whether you could be a little more interested. On the consumer side, you always know those are going to hang, but the reality is the big inflow on the commercial side you had to make sure it wasn't a ephemeral.
Gerard Cassidy: Very good. And Brian and Paul, hopefully, we'll see you guys at Bank this year in person.
Brian Moynihan: Good, we'll try,
Paul Donofrio: Hope so.
Gerard Cassidy: Okay. Thank you, gentlemen.
Operator: Next question is from Brian Kleinhanzl with KBW. Please go ahead.
Brian Kleinhanzl: Thanks. I just have one question. It's regarding the reserve levels overall. I guess when you think about it I know there was some changes with this quarter driven I think by qualitative factors. But I guess when you look at relative to the base case, how much of the reserve is still related to qualitative factors? Meaning that if the base case comes true that could be released over time.
Brian Moynihan: Yes, I don't -- I'm not sure we -- well, I'm not sure we give the exact methodology, but let me just give you a sense. If you take our reserve setting weighting in other words what we set the reserve by December for year end 2020, because we set it before the statistics, the unemployment rate was 7.8% and for year end 2021 it was 6.6%. And obviously the actual was 100 basis points-plus below that. So, you would expect as you have more confidence that the forward path is into a narrower range and the forward probability two things are going to happen as you go forward. One is the sheer dollar volumes of site activity has changed and so you're dealing with less in terms of charge-offs and things like that which gives you confidence of where the path is. But most importantly, as you think about real reserve setting and lifetime reserves is that the economic assumptions are clarifying and the end of the COVID era is clarified with the vaccine. And as we see that you'll see the uncertainty come down pretty quickly on the other side of that when that shows up in our assumptions. So we weighted downside nearly 50% of the elements. That weighting will come down over time. And so when that comes down over time, you'll see the reserves releases come away from that. The second thing is as the duration of the rest of the crisis comes in with more certainty i.e. more people vaccinated, you also see the lifetime calculation include the other side of the river to a bigger and bigger portion and so that will drive it. So both of those things will change it. And as Paul said earlier, if you look at our underlying economics team they have the economy crossing over where it was before and growing past in terms of sheer size at the end of this year and our reserve setting takes it into next year and things like that. So we are using a more conservative case which implies judgment.
Brian Kleinhanzl: All right. Great. Thanks.
Operator: We'll take today's last question from Charles Peabody with Portales. Please go ahead.
Charles Peabody: The first deals with what's going on in the regulatory front. Recently, we just had two new potential appointees one to the SEC and one to the CFPB. Wondering what sort of issues you thought might emerge with these appointees. And more on the consumer side, because that's what I'm hearing where the biggest, which is going to be. Some of the things I'm hearing there's going to be a crackdown on payday lending overdraft fees, usurious rates, artificial intelligence used in redlining. Most of those probably affect you overdraft fees. But are there anything you can think of that might affect you? And specifically, what sort of things might affect the overdraft fees?
Brian Moynihan: Well a decade-plus ago we started changing before the rules were changed our posture in overdraft fees realizing that a more stable customer base was vastly better for the franchise in the operating deficiency. And so we welcome an industry which has a great consumer-oriented path to it, because that's how we run our company. We've been doing it that way for a long time. So our fees on overdrafts have been declining really as a percentage of fees every year and probably in gross dollar amounts most years. And so we're not depending on those largely because of how we run the business being core customer checks 90%-plus the primary checking account in the household. And therefore they tend to overdraft less. And this year with the stimulus and stuff it's even lower. So we welcome -- we introduced this new loan product that basically gives a right to get an emergency loan for $5. And that is our response to allowing our customers who've been with us for a while to access their money for really no interest at all and use it in anticipation of paying us back quickly. These are things we've done to really help our retail customer segment, which is the mass market customer segment on manage their lives effectively. And so we don't have a business built on those kind of fee structures and that's we're not -- that's why we not -- we welcome any regulation that brings the market to us, because as the most efficient and the best brand and the best customer service the largest franchise that's fine with us.
Charles Peabody: And then my follow-up question deals with -- I recognize the fourth quarter on a historical basis was very, very strong.  for all banks -- or big trading revenues didn't. And so my question is  a little more conservative in the fourth quarter. We already had the year something that's making it more difficult to the expectations? 
Lee McEntire: Hey, Charlie, you're really cutting out. This is Lee. You're really cutting out. I'm not sure we picked up. I think you were asking a question about FICC and something, but we couldn't hear you.
Charles Peabody: Yes. Basically, the FICC trading results in the fourth quarter on a historical basis were very strong. But they did miss analyst estimates not just at BofA, but at JPMorgan, at Citi, at Goldman everybody. And what I'm trying to understand is there something in the environment that's changing, that's making it more difficult  too aggressive in their expectations?
Brian Moynihan: That I don't develop those expectations. But our team had a good year and Jimmy and the team drove the business well. They do it consistent with how we run the franchise keeping the balance sheet -- one-third of the balance sheet in the $30-odd billion of capital we have in the Markets business. And for the year, we earned above -- well above our cost of capital and they did it -- think about the environments almost by month that were shaped. So we feel good about it. And so, I'll let Lee follow you offline to some of the broader questions, but we don't set other people's estimates, we only set our own. So let me -- I think that was the last caller, Lee?
Lee McEntire: That's right, Brian.
Brian Moynihan: Okay. Thanks. Let me finish here and let you get back to your day. 2020 let's close the book on that. It was a strong year by the team. As we think about what we faced: A wild operating environment with work-from-home, massive customer deferrals that diminished over the course of the year, massive borrowing that paid us back, deposit inflows, government programs to implement, changes in those government programs, multiple cases of those government programs and yet the team did a great job. So I thank the team for all the hard work they did. We finished the year stronger than -- the stronger quarter of the three during the crisis. We continue to see asset quality and -- mitigate now. And so we feel good. We're back in the market buying back stock today. We told you we'll buy $3 billion-plus this quarter. Our strong balance sheet capital ratios allow us to do that. And as we also said NII troughed in the third quarter and we continue to push up from here. And expenses year-over-year will be flattish, despite the fact we're investing heavily to have the best franchise. So thank you for your support. We look forward to talking to you next time. Thanks. 
Operator: And this will conclude today's program. Thanks for your participation. You may now disconnect.